Daniel Wolfe: Good morning, and welcome to 180 Degree Capital Corp.’s, Third Quarter 2018 Financial Results Call. This is Daniel Wolfe, President of 180 Degree Capital. Kevin Rendino, our Chief Executive Officer and I would like to welcome you to our call this morning. All participants are currently in a listen-only mode. Following our prepared remarks we will open up the line to questions. [Operator Instructions] I would like to remind participants that this call is being recorded and that we will be referring to a slide deck that we have posted on our website on our Investor Relations website at ir.180degreecapital.com under News/Events. Please turn to slide two that contains our Safe Harbor statement. This presentation may contain statements of a forward-looking nature relating to future events. Statements contained in this presentation that are forward-looking statements are intended to be made pursuant to the Safe Harbor Provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to the inherent uncertainties in predicting future results and conditions. These statements reflect the company’s current beliefs, and a number of important factors could cause actual results to differ materially from those expressed herein. Please see the company’s filings with the Securities and Exchange Commission for a more detailed discussion of the risks and uncertainties associated with the company’s business that could affect the company’s actual results. Except as otherwise required by federal securities laws, 180 Degree Capital Corp. undertakes no obligation to update or revise these forward-looking statements to reflect new events or uncertainties. I would now like to turn the call over to Kevin.
Kevin Rendino: Thanks, Daniel, and good morning, everyone. Please turn to the next slide the summary of Q3 2018. After growing our book value 10% in the second quarter, we gave some back in the third quarter, our book value did declined 3.4% this quarter. The majority of that decline took place in our public portfolio with Adesto, Mersana and Synacor contributing the majority of the decline we’ll have more on them later. Our private portfolio was up modestly this quarter, with the highlight being the monetization in AZO, which we sold in July for $7 million. Please turn to slide three. This slide is our five year historical trend of NAV, that shows as you can see since we started our strategy early last year NAV has grown from the $2.34 level nearly 20% over the last seven quarters to our quarter end NAV growth of $2.81. So not a particularly good quarter, but certainly a great seven quarters. Next slide please. Slide four shows our sources of change in our NAV for the third quarter. We started with an NAV of $2.91 we add $0.012 forward gains in our private portfolio. The public holdings reduced our NAV by nearly $0.09 at $0.024 of operating expenses and you get to our quarter end NAV of $2.81. Next slide. Slide five is the same chart as the prior one except it is a year-to-date source of change analysis. As you can see our public holdings have added $0.29 to our year end 2017 NAV of $2.60. There has been no gains in the private holding that’s why you don’t see a bar here at all the private holdings are actually flat year-to-date. We have normal operating expenses of $0.06 plus the bonus accrual of $0.02 and we end up at the same $2.81 Q3 2018 NAV. Next slide, please. Again the same slide, but looking at it over the course of our history, which started in the beginning of last year. We’ve added $0.62 to our NAV from our public portfolio, another $0.08 from our private portfolio, deducting normal operating expenses and one-time restructuring expenses, our NAV has got from $2.34 to $2.81 over the last seven quarters. Fairly obvious to us and hopefully to you that our strategy change has greatly benefited our shareholders. Next slide please. Slide seven is the snapshot of our public company performance in Q3. Our weighted average return for our public portfolio declined 8.8%. I’ll have more on the specific drivers of the quarter in just a second when I talk about the individual names. So now turn to the next slide. Slide eight shows our year-to-date weighted average return our public portfolio led by internal Turtle Beach, TheStreet and Adesto despite the sell off this past quarter we’ve had a successful nine month run of public market investing you can see the number there at 25.5% year-to-date. Next slide please. This is our performance, the weighted average performance of our public holdings during the last seven quarters or put another way the beginning of 180’s history. As you can see, we’ve had several stock rise over 100% during our ownership and in total our stocks have been up north of 60%. Please turn to the next slide. Slide 10 captures our total return of our public portfolio, which obviously takes into consideration the reinvestment of $1 into another dollar. This is a gross total return. Although we struggled this past quarter you can see our gross total return versus the applicable market indices over long periods of time. As you can see from start to finish we’re up 108% versus the Russell Microcap value index being up 22% year-to-date 35% versus 9% for the index. Again these are gross total returns, which our NAV will incorporate a netting out of expenses and allow for people to look at our expenses, but this is a gross number. We’ve easily beaten the Russell Microcap index not only over the year, but certainly since we started. Next slide, please. This reflects our strategy, our cash plus public security versus our private portfolio percentages. We’ve taken our cash and liquid securities to 44% of our assets at applicable rate. That’s up from 27% since we started. As you can see given the dip this past quarter the public market exposure slipped from 48% of assets to 44% of assets. Next slide, please. Now to the specific names that hurt us in the quarter. Mersana reduced our NAV by $0.06, Mersana is a biotech company that produced drugs for the treatment of tumors and cancer. As investors know there’s tremendous volatility for a biotech company that is currently in the middle of clinical trials. In this quarter one patient in one of Mersana’s two ongoing trial died possibly from side-effects of the drug and the stock collapsed to $10 per share as the trial was placed on a partial clinical hold by the U.S. FDA limiting the enrollment of new patients. We flag this event to you on our last quarterly letter and said we were awaiting news on whether the death was related to Mersana’s drug. Two months removed from the partial clinical hold Mersana announced that the FDA lifted the partial clinical hold on the Phase 1 study, good news right. As a result of that positive announcements Mersana stock did nothing actually it went down another 15%. That is the definition of an inefficient clinical market. Essentially nothing has changed other than the two month delay in the program and we’ve witnessed Mersana’s stock coming down from $22 in April and May of this year to $8.50. We know biotech companies can be very volatile and unfortunately we have seen the negative side of that volatility in the quarter. Adesto is a name that we’ve owned for a very long period of time as you know it has been on a uptrend through Q2. As the stock reached a price that we believe made it fully valued we actually sold 62% of our position during Q2 at an average price of $8.81. As we mentioned in last quarter’s letter the company announced two separate acquisitions, in May of 2018 Adesto acquired S3 Semiconductors a developer of mixed-signal application specific integrated circuits or what we call ASICs. This acquisition materially increases the total addressable market by tenfold who are Adesto’s products in the industrial Internet of Thing applications or IoT. Adesto followed up that acquisition with a purchase of Echelon, a company focused on developing open-standard control network and platforms. These two deals have completely transformed Adesto from a specialty memory company to a leading provider of innovative applications, specific semiconductors and embedded systems that comprise the essential building blocks of IoT edge devices. Unfortunately, during this time the preannounced Q2 revenue of $18.1 million to $18.3 million versus previous guidance of $18.1 million to $19 million at an average annual estimate of $18.5 million. And they also did an equity share deal to fund these acquisitions at $6 a share. And then the stock has obviously got cough up in all the trade issues with China that we’ll discuss in just a little bit. All of this being said the stock went from when we were selling it at $8.80 to its current price of $3.50 we’ve doubled our position in recent days because we do see the upside potential for the stock to double over the next 18 months. Synacor declined 20% in the quarter, as we’ve told you previously our view is that the issue with Synacor isn't fundamental problems with its overall business, but rather a management credibility issue resulting from the company’s historically and consistently over-promising and under-delivering on its results. Approximately 40% of Synacor’s revenues are recurring and fee-based from its Zimbra, email and Cloud ID businesses. Investors typically pay a minimum of 1 times revenues for companies with such sources of revenue, and in many cases, significantly higher multiples if such revenues are coupled with high margins and growth rates. Synacor has approximately $60 million of recurring and fee-based revenue and an enterprise value of $66 million, which means the market is valuing the rest of Synacor’s $80 million of revenue at $6 million. That valuation, in our view, is absurd. In the quarter, the company's stock had gone to $2.50 on the back of a decent Q2 and also a new CFO. It declined to a low of $1.06 on the announcement of AT&T's decision not to auto renew its contract, which we think is standard operating procedure. The stock is back close to $1.80 now following a management presentation in October 2018. With that, I'll turn this back over to Daniel who'll talk about some of our new positions and our private portfolio and expenses. Daniel?
Daniel Wolfe: Thank you, Kevin. Please turn to slide 13. In a press release in September, we announced two previously unidentified positions in Airgain, symbol AIRG and in Emcore, symbol EMKR. Airgain advanced materially during the quarter while Emcore declines. I'll now take some time to discuss each of these positions in more detail with two new positions established in the third quarter of 2018 in Landtronix, symbol LTRX and PDL BioPharma, symbol PDLI. Please turn to slide 14. Airgain is a provider of advanced antenna solutions used to enable high-speed wireless networking across a broad range of devices. Antenna design and functionality are becoming increasingly important as wireless networks are transmitting data over higher and higher speeds and the number of devices transmitting data increased exponentially. We became interested in the company following a change in management in May of 2018. The new management team led by Jim Sims, Anil Doradla and Jacob Suen announced the renewed commitment to seeking profitable growth through better management of the operations of the company and focusing on high value opportunities. The company has a strong balance sheet with $32 million in cash and minimal debt. We believe Airgain is well positioned to benefit from the secular trend of increasing complexities for wireless data transmission. Please turn to slide 15, where Airgain’s antennas help to transmit data wirelessly Emcore’s lasers enable multiple system operators or also called MSOs in this cable TV market to deliver high-speed internet connectivity to their customers. Its lasers are a key component of the rollout of the new data transmission standard called DOCSIS 3.1. We initially purchased Emcore stock in late 2017 and sold it in early 2018 for a small gain. We became interested in the name again following a worse than expected fiscal second quarter believing the shortfall was timing related and as recovery would began in second half of 2018. We also believed the company would began to increase traction for its fiber optic gyroscopes that are used in high performance drones and other applications where precise location and motion measurements are required. Subsequent to our purchases, Emcore preannounced a better than expected revenue for its fiscal fourth quarter driven in part by recovery in the cable TV business and also by new customer wins for its fiber optic gyroscopes. The company also has a strong balance sheet with $65 million in cash and no debt. Please turn to slide 16, where Emcore enabled MSOs to transmit data across long distances. Lantronix enables local secured transmission of data amongst devices and management solutions for the Internet of Things assets. Clearly, it is important to be able to transmit such data in a secure manner and also to be able to manage large numbers of distributed connected devices seamlessly. These are places within the IoT market that Lantronix provide differentiated solutions and products. The company’s CEO, Jeff Benck joined in 2015 after selling his prior company Emulex to Avago. He built an impressive management team, reposition the company and returned it to profitability and growth. Part of the management's vision for growth centers -- in the future centers on acquiring complimentary products and technology. This is the reason the company raised $10 million in a follow on offering at $4 per share. We participated in this offering by investing $1 million. Subsequent to the offering, Lantronix reported its fiscal first quarter results that beat analyst estimates with $12.3 million in revenue and adjusted net income of $0.04 per share. Its stocks sold off following this announcement along with the general market melees on Friday. And is trading at a relatively low multiple of approximately 1.2 times analysts estimated revenues for fiscal year 2019. You may have noticed the common theme amongst our investments in Airgain, Emcore and Lantronix. With these investments and our position in Adesto, we have built from the ground up a bullish position on the Internet of Things market. Just to be clear, we became interested in each company based on the merits of each individual company. It just happens that each plays an important role in the emergence and growth of the Internet of Things market. We think the fundamental underpinnings and secular trends of the IoT market are sound, even though many of the names in the space have been hurt in recent months. Please turn to Slide 17. We also established a new position in PDL BioPharma during the third quarter of 2018. PDL manages a portfolio of patents and royalty assets in the biotech, pharmaceutical and medical device industries. Our investment thesis is centered on that the company will make good use of its cash resources. The company has a market capitalization of approximately $382 million and a cash $395 million. PDL also has $150 million in convertible debt due in 2021. The stock trades at approximately half of book value. Given these metrics stick clearly within ones that we look at as the value investors. We dug into learn why the stock is trading at such a discount to book value and low multiple cash. PDL’s recent strategy has centered on acquiring commercial stage companies and assets rather than solely royalties. With the first being Noden Pharma DAC, and its hypertension drug purchased from Novartis. Unfortunately for PDL's management team and the company's shareholders, PDL was forced to take a 75% write-down of their Noden stake just 24 months after purchase, due primarily to an incorrect assessment of the potential for generic competition. They also failed thankfully in a hostile takeover attempt of Neos Therapeutics at a price 3 times the level Neos trades at today. Our investment thesis is centered on the notion that the board and management team will learn from these missteps, and instead, use the company's cash to buyback stock. Subsequent to our investment, PDL authorized $100 million stock repurchase program. Please turn to slide 18. As we've said in prior calls and letters, we continue to believe our private portfolio contains companies that can generate meaningful returns on invested capital. As of September 30, 2018, our most mature private companies, D-Wave Systems, AgBiome and Nanosys and ORIG3N were valued at $30.1 million in aggregate or over half the value of our total private portfolio. There are other private companies within our portfolio -- private portfolio. However, these companies are in early stages development and the timelines of potential exit values for these companies are highly uncertain. We mentioned last quarter that in early July 2018, we sold our shares of HZO to unnamed investors for an aggregate price of $7 million. While this price was below our cost basis of $9.1 million it provided a material amount of additional capital for us to execute on our strategy of investing in publicly traded Microcap companies with our constructive activist approach. We will continue to look for opportunities to monetize our private portfolio and investments in transactions that we believe are in the best interest of our shareholders. Please turn to slide 19. As we have said in prior calls, we've greatly reduced our operating expenses, which will make it far easier to grow NAV than in years past. Also, as a reminder, the first quarter of 2017 was the last quarter of operations of our predecessor company, Harris & Harris Group. So the quarterly year-over-year comparisons will no longer show the drastic drop in expenses as those reported previously. For the third quarter of 2018, our operating expenses were $650,000 versus -- $720,000 versus 650,000 in the same quarter of 2017, 11% year-over-year increase related primarily to us having one additional employee and one additional director as compared to the same period last year. I note that these figures do not include subleased income. Please turn to slide 20 and 21, as we discussed on last quarter’s call we currently anticipate reductions in our operating expenses as a percentage of net assets, we based on growth in our net assets rather than further reductions in our expenses. This slide show that we are making progress on that front that’s made an operating expenses as a percentage of the net assets including and excluding year-end bonus accruals, decreasing from those of last year primarily due to increase in net assets. Last quarter we also mentioned that we may make investments in our business by adding to our investment staff, which would increase our operating expenses. We will only pursue such a hire if we believe that investment will help us grow 180 Degree Capital’s net asset value. We remain committed to treating every dollar of shareholder money with the utmost care and consideration. I will now turn the call back over to Kevin.
Kevin Rendino: Thanks, Daniel. If we turn to slide 22. This is our score card year-to-date and obviously this can change, but through September 30th, our stock is up, our NAV is up, and we’ve made meaningful progress in our cash and public portfolio as a percentage of net asset ratio that we’ve talked about. So through September another bad year. Next slide, please, is something we put in front of you each and every quarter some of the parts analysis. Our liquid assets cash and other assets net of liabilities were $1.21 per share. The market paid us 100% for that value, the market is describing a value of $0.96 for the rest of our private portfolio. Given our assets are valued at $49.7 million the market is discounting the value of our private portfolio assets by 40%. Next slide, please. Finally October has been a rough month for the market as all of you know as a matter of fact it has the potential to be the worst month since March of 2009. While October has been a brutal market for the broad market the underpinnings of weakness have been evident for few months. while the S&P peaked earlier this month and is down 10% from its size the Russell Microcap index actually peaked in the beginning of July and is down over 15% from its size. Swap caps have been underperforming for a good while. Pick whatever data point you want interest rates, inflation, budget, deficits or trade wars of China, investors are panicking over all of them. As it relates to the China trade war it’s a real issue and is [indiscernible] on technology stocks, semiconductors in particular have been hit hard and he stocks index is down 20% from its size. We are focused on the issue and trying to stand the ramification it has on our company’s supply chain and the effects that it may have on the cost of producing those goods. This is what people forget, the world is in static we’re paying CEOs and CFOs to deal with change, for instance Daniel mentioned Lantronix reported last week, they discussed the China trade issue on its call. They said they would have a one-time 3% hit to its costs of goods sold as it shifted manufacturing to other parts of the world. So that’s it, 3%. As an aside the company beat both top and bottom lines and despite the small increase in costs essentially bless the estimates for next quarter’s bottom line and gross margin. As a result of all of that the stock was down nearly 25% from its intraday high on Friday. You know what that is, it sell first and asks questions later, except even though we have the answers the reaction doesn’t necessarily match the reality. I recently read that Danaher would have a $12 million hit to its cost basis because of the China trade issue, on a cost of goods sold of $2 billion. What’s going on and what went on in Lantronix after they reported was some investor wanted out of the position, either because their fund have redemptions, their fund was closed due to poor performance, they wanted to sell for tax loss selling reasons, it could have been a myriad of issues. We know that the active investing world has been under the rest relative to index and ETS for some time and we see indiscriminate selling across the board. This isn’t a market that’s digesting a macro event and intelligently and carefully thinking through the impact it may have on a specific company or a sector. The world evolves, companies evolved and the idea that companies are going to sit around and twiddle their phones and hope that the China trade issue goes away is now reality. Many of them have already managed their business around the issue and that’s what companies do, they manage their business. I don’t minimize any of these issues, but I do know what indiscriminate selling looks like and I’ve seen it many of our names. If the world is ending the bond market doesn't seem to get it. Credit spreads have remained in check, the yield curve may have flattened, but it doesn't pertain the disaster scenario. The 10 year at 3%, the high yield index has yielded the mid to single-digits. I remember vividly sitting in my office during 2000 -- 2008 and 2009 and watching CDS blow out an individual names on a daily basis. Maybe the equity market is right this time and the bond market is wrong. But that's not a bet I'm going to sit here and make. One last item. The Eurozone’s third largest nation Italy has plunged into a deep political and economic crisis. You follow what's going on there, it feels like a disaster. Do you know what the 10 year Italian bond trades at 3.5%. That's not an end of the world scenario in my mind. My point on all of this is there are certainly macro concerns to be focused on, but many stock prices have overreacted and discounted a lot of bad news. Our job is to sift through all of this and try and create value for you over a longer period of time. I see such short termism in the market this month and that does create opportunities. As one very smart investor told me yesterday. Sometimes you just have to act like an investor. That's what we'll do. With that Daniel, why don’t we open it up for questions.
A - Daniel Wolfe: Certainly. [Operator Instructions]
Unidentified Analyst: Yes, good morning, Kevin and Den, Sam Robotski [ph].
Kevin Rendino : Hi, Sam.
Unidentified Analyst: I'm reviewing the values at 9/30 of your public company and plugging in the prices as of the close yesterday. And I believe you said you bought some electronics at a million -- other than the 250 how many shares did you buy other than the 250 that you had in the public offerings.
Kevin Rendino : Sam whenever you see in the quarter is what we're willing to talk about on.
Unidentified Analyst: Okay. In essence the market declines can be an opportunity. You had $0.35 a share in cash. As of now did you add to your portfolio during this decline?
Kevin Rendino : In the month of October.
Unidentified Analyst: Yes.
Kevin Rendino : Yes. I mean you -- as I said we're not going to sit around here. Look we have to analyze what's going on and a lot of what's going on is real. We know the market is up a lot off the lows from 2008 and really the bottom in March of 2009. So we're not polyannish [ph]. I understand there's issues out there but I think as the market always does it gets incredibly optimistic when it should be concerned and it gets credibly pessimistic when it doesn't see the opportunities. So you can expect us to be putting money to work with a time horizon that last longer than tomorrow's lunch. So we view this as I said earlier that my friend who said it to me yesterday, we were talking about all of this, China, interest rates, inflation, Europe the political discourse is like no one at some point just have to act like an investor. And that's what we're going to do in this environment. That's not to say we're going to ignore the realities we’re going to try and understand what's going on but we do think that a lot of stocks have discounted a lot of the bad news.
Unidentified Analyst: Yes. Clearly I approve your approach. Do you have flexibility to do any margin or…
Kevin Rendino : Yes, we're never going there, Sam. That's how companies end up putting a for sale sign on their front door.
Unidentified Analyst: It only depends on limitations and the discount valuation. I mean like in 2007, 2008 when there were substantial discounts for say and everything was really knocked down and the value of the balance sheet was substantial. I mean there is an opportunity. I'm not saying this is what you should be doing, but that's one way to look at it and you had indicated you didn't expect any events to occur on your private investments. Would you say in the next year, or what kind of timeframe would you say there is?
Kevin Rendino : Let me say two things on the private first and I'll have Daniel chime in here. In terms of monetization, there is nothing -- although thing are being work on there is nothing imminent. That doesn't mean that in the fourth quarter you won't see valuations move around if companies do successful financings. And so we could see a positive impact in the fourth quarter from some of those if certain financings get done. But as you know most of that is the private holdings and the speed at which some of these things take place feels a little bit like molasses at some point. Dan do you want to comment on anything else?
Daniel Wolfe: Yes. I think the only thing I will say is or I will add is we never provide guidance on the private portfolio. It's -- look there is we say that there we think that there are opportunities for companies to build value for us and our shareholders. But the timing and the amounts and exit values is all highly uncertain.
Kevin Rendino : Yes, now again a positive finance to one of our holdings could be a good thing. And maybe we -- that happens this quarter that would be nice. The other thing as it relates just backwards. This is a -- look it’s a closed end fund with permanent capital and -- which is a highly valuable dollar as oppose to just a dollar a permanent capital dollar is probably more valued to it than a regular dollar, which is never going to -- Sam, I'm just not the kind of investor or the kind of CEO that's going to do esoteric things with this portfolios assets. We're literally going to do what we've done over the last seven quarters. And we're not going to put any no margin, no debt none of that it’s going to be a very boring simple story. But I think a boring simple story could be very accretive for shareholders over longer periods of times just like we've seen over the last seven quarters. So keep it simple stupid is one my models in life. And that's what we're doing here.
Unidentified Analyst: I complete -- 100% approval what you're doing keep it up. And then things will work out. It’s just today's losers could be tomorrow's winners. Okay, good luck.
Kevin Rendino : Thanks, Sam.
Daniel Wolfe: Hey, Kevin, Hey, Daniel this is Drew.
Kevin Rendino : Hey, Drew.
Unidentified Analyst: How are you guys?
Kevin Rendino : How are you? I'm fine.
Unidentified Analyst: Yes, I am having a great time. He sort of asked the question that I was going to ask basically, I've been around these markets long enough especially in microcap that you think something is cheap and you get into a down market and they can get ridiculously cheap. And I have a lot of faith in your guys that you'll make good decisions during this period of time and like he was asking what's the chances that we're going to have more liquidity to invest in some of the opportunities to start to occur as this continues on. I don't think it's going to end anytime soon, it will end soon. Sooner or later.
Kevin Rendino : I hope you're right, I think you're right. One of the -- if you -- we wrote our shareholder letter that was attached, it's on our website. It will go out to shareholders. It was on cnn.com and they had a fear and greed index. And this is I put the chart in the shareholder letter. I think as of October 23 on the scale of 1 to 100 one being most fearful and 100 being most greedy. The fear index was at 7 or the index was at 7 showing heightened fear. The most interesting part about that chart was one month ago, it was like 75 or 80. I think 75 is the chart is where it was at one month ago. And so we went from life couldn't get any better to the world is ending in a literally 25 days. Adesto has gone down 50% or so 45% in literally 16 trading days on no news. Mersana, look I mean when they have the -- when the initial partial hold was put on the stock was 17. Then they have to hold the trial the stock goes to 10 I get it. Then the halt comes off and the stock was 15 today it's 6 that's not normal that's not rational market. Now I understand Mersana needs capital next year and it's a biotech company I get all that but I also know fear and greed and…
Unidentified Analyst: I work with a lot of clients and I with them on a day-to-day basis and the amazing thing is that the large hunk of the money in the market right now is Baby Boomers and Baby Boomers are getting to be late 50s and 60s years of age and they are thinking back to 10 years ago and thinking I lost 40%, 50% of my money and now they’re freaking out that this market is going to do it again. So you got a lot of that kind of attitude going on and especially if you’re a stock broker, Baby Boomers calls you up and he scared that the market is going down, you’d be more than happy to trade job into something else. So you’re going to get irrationality in these markets right now. But you’re going to get incredible opportunities still.
Kevin Rendino : Yes you just have to have -- there is a fortunate thing for us is we don’t manage to a clock, look I want to make money for everybody yesterday you know that. I mean I'm a significant shareholder. So as the rest of the management team and is our Board. I think the one thing that I know is we don’t have to sell, so we know that there was a seller of Adesto 700,000 shares in the last two weeks. Not going to say who it was, but it was a page one or two shareholder because the fund got closed. We don’t have to do that that’s the beauty of permitting capital. So we could take advantage of that if it’s just for selling at any price without any sort of rationale for fundamental weakness right. We also recognize we’re going to get things wrong and if you buy a stock and it goes down because the company misses then it went down because of fundamental reasons not just force liquidation. So kind of like the position that we’re in from a permanent capital restructure. And just looking forward to November 1 and maybe the passing of the mid-terms next week.
Unidentified Analyst: Yes, I think that would help to some degree. Interesting company that you purchased that the PDL BioPharma looks really interesting, but certainly management hasn’t done anything to impress you that they’re going to do good things with the $375 million. Hopefully you feel that’s going to change like you said, it feel like learned their lessons hopefully that’s correct.
Kevin Rendino : They did after we bought it, they did initiate $100 million share repurchase program. They are under the rest an activist investor who’s very thoughtful, smart, and long-term thinker. So they have the board and the management team have listen for sure so out of that $375 million I think in September it was -- not in October, September they did announce $100 million share repurchase program which literally is 50 million shares. And hopefully they are probably in the quite period and hopefully once they report their quarter and they get out of their quite period they’ll start buying back stock and hopefully the stock will trend towards $3 and hopefully even higher than that.
Unidentified Analyst: Is that renaissance technologies you’re referring to?
Kevin Rendino : No it’s company called Seven Seas Capital. I think they’re in Chicago.
Unidentified Analyst: Okay.
Kevin Rendino : We’ve read their public letters.
Daniel Wolfe: They’re available online you can search for them and they put out I think two or three of them at least.
Kevin Rendino : It’s not rocket science honestly what they’re asking this board and management team to do unfortunately for the company it was a very successful royalty stream business for many-many years they decided they wanted to buy product companies. The first one they bought literally they had a write-off 75% of it in 18 months. And they also tried to do a hostile takeover of another product company called Neos at $12 a share. Neos stock is $3, thank god they didn’t get it because they would have destroyed PDL forever. And so their track record in doing product deals has checkered the best and we’ve told them that like why would you do something you haven’t been successful at. Why wouldn’t you do something that you are successful these are nice royalty deals overtime, do more of those. And your stock is trading at half the book value why don’t you buy it back? You’ve got, I am not asking to blow all your cash on share repurchase, but a portion of it so they’re listening. I mean, we can’t argue with what they’ve done since we’ve been in order.
Unidentified Analyst: What about TheStreet, I noticed that fairly big holder sold its shares just recently.
Kevin Rendino : Yes TCV, you remember when we did our deal with TCV and the company TCV had a $55 million senior liquidation preference and we took them out for $26 million, $20 million of cash and $6 million of shares. The fund that we think he -- the TCV operates at the street was in has been closed. So we always knew he was trying to monetize this position. I don't think he cares about it I think it's not something that's meaningful to him or the fund. I think he's just trying to get it off his balance sheet. And so he did sell stock last week I think that's been reported and filed. I will say that I'm on the board, so I have to be careful about what I can say TCV is not on the board, I don't think they listen to our calls, I don't think they're very engaged in the business in terms of being hands on and I don't think we've spoken to them in the last year. So I don't think there's any -- I know there's no knowledge there, it's just -- again going back to my earlier comments Drew it's just the fund they wants out. And when you want out you don't care about what price you're getting or the valuation or the yield or the book value you just say I want out, and so that's what's happening.
Unidentified Analyst : Right. Well, I thank you for what you guys are doing. I think that there's incredible opportunity coming up. I'll never forget 1987 crash, but months later I'm looking at small microcap companies and I found one that was trading for 70% of cash on the books and no debt whatsoever with substantial revenue that wasn't going away anytime soon, positive cash flow but yet they were selling it for 70 times -- 70% of just the cash sitting on the books got taken over for $8 or $9 a share about six months later. That's the kind of crazy things that happen in these kind of markets and that's why I'm looking forward to you guys having the liquidity to take advantage of these things when they happen in this microcap space. I got the faith in you you're going to do a good job there. Thank you. Thanks very much.
Daniel Wolfe: Thank you. Appreciate it.
Kevin Rendino : All right take care.
Unidentified Analyst : Gentlemen, good morning. This is Al Shams. First of all, I think you guys are doing a great job. We're doing exactly what we should be doing. I'm very, very comfortable with the approach you guys have taken. So you really have my support. I think the idea of not going into leverage that is also another great idea. If you don't owe anybody, any money, they can't put you out of business, not supposed to. One comment or question with regard to the biotech company, PDLI. There's two very smart guys that I think that recently came on the Board, I thought about the name of Sam Saks, another guy Barry Selick. Do you have any insight to those guys and have you had any discussions with the Board?
Kevin Rendino : No, I don't know them. Obviously anytime we invest with something we look at the Board. To be honest with you, it's too big of a board. I'm sure those guys are great. I'm glad they're there. I think, they have nine members on the Board, it's too big. It's -- the expense base there is out of control. They probably have like $400,000 to $500,000 worth of fees, director fees and the rest.
Daniel Wolfe: And I've never seen it that high for that -- for this type of company. I think the other thing, the two directors you mentioned. I think they've been on there for a little while. Probably the most notable one that they brought on was the former Director or former CEO of Teva Pharmaceuticals, who was actually nominated by Seven Seas and the Board decided to bring them on without running a proxy contest, because he has an incredible background and brings a lot of expertise. So I think that's an interesting one to also pay attention to.
Kevin Rendino : We've not had -- we've not talked to the Board. Our discussions have been with the management team.
Unidentified Analyst: I think Sam Saks in particular has made a tremendous amount of money, I forget what companies he was involved in, but very, very smart, astute, prestigious and wealthy guy. And I think Barry Selick is also a pretty sharp guy. Maybe hasn’t made as much money as Sam, but still very, very sharp. Okay. Well look, let me one final question. I got on a few minutes late. How are we doing in the area of raising additional outside capital?
Kevin Rendino : Well, we're not actively raising outside capital as it relates to setting up the fund. What we've done is raised capital around individual ideas. We’re set up to do it, but we're not actively in negotiations to do that. I don't think you'll see any of that maybe it will, but it's not something that we're pursuing aggressively right now. What we're pursuing aggressively is fortunately we do have a bunch of cash on the balance sheet from sales that we've made in the last six months so positions that have done well. And what we're focused on right now is making investments in the market on behalf of our own balance sheet. And we have the systems in place Rob Bigelow obviously joined us. So we're ready to go. By the end of this year we'll now have a two year track record. And as we get towards a three year track record, hopefully towards the end of next year we actually think we could set up the fund that we want to. Because as providing our numbers hanging with what they've been for the last seven quarters. So we'll see where that goes.
Unidentified Analyst: Okay. Well.
Kevin Rendino : Thank you, Al. I'm sorry.
Unidentified Analyst: Yes. So keep up the good work. Got great confidence in guys. I know we're doing exactly the right thing. Can't be too worried about short-term quarter-to-quarter performance, but we're doing the right thing for the long-term. So thanks a lot.
Kevin Rendino : Thanks, Al.
Unidentified Analyst: Good morning guys. This is [indiscernible]. Just wanted to ask if you can comment on the transaction on HCO during July?
Daniel Wolfe: So can't really comment too many specifics except for were presenting with an opportunity to monetize the position and sell it to undisclosed buyers. And so we took advantage of that opportunity. And it provided obviously meaningful amount of cash growth to execute on our public company investing strategy.
Unidentified Analyst: Okay, thank you.
Kevin Rendino : Thank you.
Daniel Wolfe: No problem. Alright, please go ahead.
Unidentified Analyst: Okay this is Michael Morally [ph]. I'm a private investor I joined the conversation a bit late. My question is about Adesto, I have owned TURN for a long time at Adesto more recently. And I noticed like everything else the stock has sponged. And I was wondering about the fundamentals are they still the same? And how is the integration of Echelon going with that company?
Kevin Rendino : So you might have missed my comments. But what I said was we had sold 62% of what we owned at an average price of $8.80 in Q2. On our way to exiting in position entirely until they did these two acquisitions to kind of preannounce the soft quarter and did an equity deal at six. We didn't participate in the equity deal. And the stock subsequently went lower because a lot of investors now are worried about execution risk, they are worried about China trade wars and how that's going to impact the semiconductor supply chain. So there was a lot of reasons why the stock has declined. I'm not sure I get why it's declined to $3.50, which is one times revenues. For a company that is transforming itself away from being sort of a memory-based company with lower margins to higher ASIC business with higher margins. So they report next week we -- I mean, I don’t know what they're going to say, but I don't think there is any -- I don't think we're all that worried about either Q3 or Q4 or next year in terms of integrating these assets. They're in the middle of integrating them. So I guess my point is I'd love to sit here today and tell you about their fundamentals because we’re just looking to their conference call I need a week to hear what they have to say. I'm not -- I don't think we're going to be negatively surprised. If we were I certainly wouldn't be buying the stock. And I think as you look out next year, you're talking about a business that can do $120 million or so in revenue and have double-digit EBITDA margins with 50% plus gross margins and companies like that in a normal market don't trade at the valuation that Adesto has currently traded. So I think it overshot on the upside, which is why we were selling earlier in the year. My guess is its overshot in the downside, I can’t conclude on that yet because I haven't seen the next six months. But that's what we think today and we're -- we've doubled our position here in the last three months.
Unidentified Analyst: Thank you.
Kevin Rendino : Thank you.
Daniel Wolfe: Thank you. And there are no further questions in the queue.
Kevin Rendino : Okay with that I wish everybody -- firstly I thank everybody I -- this is your business, we're trying to manage it on behalf of you. It's your money and we're trying to take good care of the money that you've entrusted in us over the years. We hope that the month of October turns into a very different market environment here over the course of the next two months. We'll control what we can always control, which is our expenses. We hope to have some positive things take place in our portfolio both on the public side and the private side this quarter. Time will tell if we're going to be right there, but we hope we have a much improved fourth quarter given well certainly us as well as the rest of the market got off to a choppy start here in October. So a month is not a quarter, it takes three months to an active quarter and we look forward to reporting on not only the last quarter sometime in late January early February, but our total year results. So thanks again for everyone's comments and questions if you need to reach us you know where to find us and we thank you and have a good day.
Daniel Wolfe: Thank you everyone. You can now disconnect.